Operator: Good morning and welcome to the Global Net Lease Fourth Quarter and Full Year 2017 Earnings Call. [Operator Instructions]. I would now like to turn the conference over to Leland O'Connor, Senior Vice President. Please go ahead.
Leland O'Connor: Thank you operator. Good morning everyone and thank you for joining us for the GNL's fourth quarter 2017 Earnings Call. This call is being webcast in the Investor Relations section of GNL's website at www.globalnetlease.com. Joining me on the call today is James Nelson, GNL’s Chief Executive Officer and Chris Masterson GNL’s Chief Financial Officer for a discussion of the quarter's results. The discussion today will include certain statements and assumptions which are not historical facts. They are forward-looking in nature and are being made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to certain assumptions and numerous risk factors that could cause GNL's actual results to differ materially from these forward-looking statements. We refer all of you to our SEC filings for a more detailed discussion of the risk factors that could cause these differences. Any forward-looking statements provided during this conference call are only made as of the date of this call. As stated in our SEC filings, GNL disclaims any intent or obligation to update or revise these forward-looking statements except as expressly required by law. Also during today's call, we will discuss non-GAAP financial measures, which we believe can be useful in evaluating the company's financial performance. These measures should not be considered in isolation or as a substitute for our financial results prepared in accordance with GAAP. A reconciliation of these measures to the most directly comparable GAAP measure is available in our earnings release. I will now turn the call over to James Nelson, GNL's President and Chief Executive Officer.
James Nelson: Thank you, Leland and thanks again everyone for joining our call today. 2017 was a pivotal year for GNL in repositioning our company especially from a capital structure prospective as we closed on a transformative acquisition of Global II at the end of 2016. In 2017 we were able to recast our credit facility extend out our debt maturities while keeping the interest costs very close to the same and access multiple avenues of capital for the common and preferred equity markets as well as the CMBS market. With all this accomplished we were positioned to focus on accelerating our growth by identifying and closing on a number of investment opportunities that fit well into the GNL portfolio. Based on all of these accomplishments we are excited for what 2018 has in store for GNL. Since the end of last year the company has disclosed several other significant transactions, first GNL took steps to grow its portfolio size by about 10% through the addition of almost 300 million in primarily investment grade net lease distribution and industrial properties all in the United States. The 18.6 million acquisition of One Distribution property has already closed and we have signed definitive agreements to acquire additional properties totaling 274 million and covering a combined $3.5 million square feet. These properties are 100% leased to almost 84% investment grade or implied investment grade tenants. In addition as described in our earnings release the financial credit and capital structure improvements made in 2017 have already given GNL a significant jump start in 2018. Turning to our financial performance, we finished up the year with an excellent quarter our AFFO for the fourth quarter was $35 million up 20% from the prior year fourth quarter. In fact our Q4 AFFO accelerated during the quarter as a result of our balance sheet restructuring efforts during the second half of the year which better positions the company for accretive growth. Chris will go into more detail shortly regarding our financial performance. Touching on the capital structure side during 2017 we continued to add to the work we have done on repositioning our balance sheet during the last six months. During the fourth quarter we priced a $28.8 million add on to our preferred stock. The add on follows our initial preferred stock raise of $106.5 million combined the two preferred equity capital raises total 135.3 million over the last four months of the year. We see the preferred market as a good complement to our capital raising initiative as it helped us continue to buy and finance assets at attractive cap rates. In addition during the fourth quarter we completed a new CMBS facility raising 187 million in proceeds. The 10 year CMBS carries a fixed rate of 4.4% and extends our maturities with a much improved liquidity profile we were able to make progress on our acquisition efforts. Our portfolio is performing well, we now have 321 net lease properties equalling 3.2 billion in real estate investment. We have properties located in seven countries at least to 100 tenants across 41 industries and comprising over 22 million total square feet. Our percentage of investment grade or implied investment grade tenants improved to 76% which remains well above any of our peers in the industry. Occupancy ticked up 10 basis points to 99.5% compared to the end of the September quarter. At quarter end our geographic property mix shifted slightly more towards the U.S. to roughly 49% U.S. and 51% in Europe while the property mix was at 59% office, 31% industrial and distribution and 10% retail. As we've discussed on prior calls we'd like to see both of those metrics continue to shift more towards the U.S. and be focused on industrial and distribution properties which our recent acquisitions and pipeline reflect. Turning to acquisitions we continue to build our pipeline. During the fourth quarter we close a nearly 61 million in acquisitions and made progress towards our goal. As such during the quarter we acquired eight properties located in the U.S. including seven industrial and distribution assets. For the full year we added on 12 properties for 98.8 million, the strong fourth quarter helped us to achieve the overall net asset growth target of 75 million to 150 million based on acquisitions less dispositions. Looking at the investment landscape we continue to see opportunities to grow the portfolio. We have an active pipeline with a number of great opportunities. We continue to focus on remaining disciplined in our acquisition strategy by executing on a accretive deals that we believe are the right fit for the company. Let me now talk briefly about our transition on the European side from Moor Park Capital. As described in our January 16th announcement our Board has determined that our European operations be centralized and handled directly by our advisor, this step gives our advisor enhanced control in Europe through additional acquisitions, asset management and property management staff dedicated to GNL on the ground in the markets we are targeting abroad. I'd like to reiterate here we've always been closely involved in managing the European portfolio and have a European management team with employees based in the UK and Luxembourg. As part of this transition our advisor will engage a leading global third party real estate services firm to assist with asset management, property management, leasing and investment functions. With that I'll turn the call over to Chris to walk us through operating results in more detail then I will follow up with the discussion on our pipeline and some closing remarks. Chris?
Chris Masterson : Thanks, Jim. We reported fourth quarter 2017 rental income of 62.6 million which was up 2% from the prior quarter and we reported adjusted funds from operations of 35 million which was roughly flat with the prior quarter. Rental revenues increased primarily due to rent received on the properties acquired during the fourth quarter. As always a reconciliation of GAAP net income to the non-GAAP measures can be found in our earnings release. On our balance sheet, we ended the year with net debt of 1.5 billion at a weighted average interest rate of 2.9% and a weighted average maturity of 3.7 years. The components of our debt include 299 million on the multi-currency revolving credit facility, 229 million on our term loan and 992 million of outstanding gross mortgage debt. Our net debt to annualized adjusted EBITDA is seven times with a strong interest coverage ratio of 4.6 times. As of December 31, liquidity was approximately 167 million comprised of 102 million of cash on hand and 65 million of availability under the credit facility. Also during the quarter we issued an additional 1.4 million shares of 7.2% Series A Cumulative Redeemable Preferred stock for which we received net proceeds of 34.1 million. As we mentioned on our third quarter call on October 4, 2017 we issued an additional 259,650 of preferred stock under the auction granted to the underwriters in the 4 million share issuance in September. In addition in December we reprised an add-on offering of 1.1 million shares of our Series A preferred stock. As Jim discussed earlier we closed on a CMBS facility encumbering 12 U.S. based properties for 187 million of additional proceeds. The CMBS facility was a novice step in our efforts to transform our capital structure extending our weighted average debt maturity at the time of closing from 3.1 years to 3.9 years. The proceeds were used to further pay down the unsecured facility in order to create additional capacity to fund future purchases as well as for general corporate purposes. The CMBS facility carries an interest rate of 4.37% which brings GNL's weighted average interest rate to approximately 2.9%. Let me now discuss the European side of our capital structure. We currently have 41 individual mortgage loans outstanding across the UK and Europe and our objective is to refinance these loans. These initiatives will further GNL's goals in extending out maturities as well as simplifying and optimizing the capital structure. As a quick update to our hedging program we have continued to use our hedging strategy as a way to offset movements in interest rates and local currencies for our European portfolio. Shortly after the quarter close we place new forward contracts to hedge our future exposure to the euro and British pound. The euro contract hedge an additional €5 million of cash flows from the first quarter of 2019 through the first quarter of 2021. The British pound contract hedge an additional £10 million of cash flows from the second quarter of 2018 through the first quarter of 2021. These hedges are consistent with our disciplined strategy of layering hedges against two currencies over upcoming quarters to manage our exposure to both currency. I'll turn the call back to Jim for some closing remarks.
James Nelson: Thanks, Chris. Before taking your questions I would like to take a few minutes to discuss our acquisition activity and pipeline. Subsequent to the quarter end we closed an 18.6 million acquisition of the distribution property and signed definitive agreements to acquire 274 million of net lease distribution industrial properties leased to an approximately 86% investment grade tenants or implied investment grade in North America comprising 3.5 million square feet. These acquisitions are subject to customary closing conditions will have a significant impact on our portfolio increasing our geographic concentration in the U.S. as measured by weighted annualized straight line rent from 50% roughly 54% while also increasing our industrial and distribution property mix to 37% from 32%. I would like to highlight three of the acquisitions under contract, the first of these acquisitions will be a newly constructed 606,000 square foot industrial and cold storage property with a 10 year lease with Penske Logistics a supply chain management and logistics service company. The guarantor of the lease Penske Truck Leasing Company LP is an investment grade and rated BAA2 by Moody's. The purchase full price reflects a GAAP NOI cap rate of 6.71%. The property is expected to be delivered by October 2018 and features state of the art technology for Penske's operations, clear heights of plus or minus 34 feet, 105 exterior truck doors and 17 electronically operated rapid rise overhead doors. The property is located in Michigan 20 miles Southwest of Detroit and 25 miles East of Ann Arbor. The second acquisition is a 668,000 square foot consumer production distribution center for Rubbermaid with a new 10 year lease to its parent company Newell Brands, an American worldwide maker of consumer and commercial products. Newell Brands is investment grade rated by Moody's with a rating of the BAA3. The property is located in Akron, Ohio within close proximity of Rubbermaid's consumer production facility. We were able to execute on this acquisition at a GAAP NOI cap rate of 7.3% and the lease contains rent escalators of 1.75% per year. The third significant acquisition comprises of five industrial buildings leased for 10 years and covering 1.4 million square feet that serve Contractor Steel Company, Contractor Steel Company is a complete steel service center serving steel users throughout the Midwest and Canada, it is also investment grade rated by Moody's with a rating of the BAA3. The lease will be for 10 years across the five properties and we were able to execute on this contract at a gap NOI cap rate of 8.19%. These acquisitions highlight an important quality of our company, the ability to source investment opportunities by leveraging direct relationships with landlords and developers in off market transactions. We believe this allows the company to achieve better than market cap rates generating better results for the portfolio and earnings. These acquisitions are a testament to our disciplined acquisition strategy and focus on finding deals in the U.S. industrial and distribution segment which we believe provide a compelling opportunity for GNL. We are excited by these transactions and believe they demonstrate our desire to grow the business and drive stronger earnings and cash flows. In summary 2017 was transformative as we ended the year with new leadership, a much stronger balance sheet and a very robust pipeline of acquisition opportunities that are starting to be realized. We accomplished a number of different initiatives such as closing and integrating the global two portfolio, recasting our unsecured line of credit, adding access to new sources of capital through the issuance of preferred equity and the CMBS market. Looking forward we are focused on continuing to scale and diversify our portfolio accretively by increasing our industrial and distribution property ownership in the United States and by looking for opportunities in Europe and believe the pipeline that's been assembled is a tremendous start. We have a veteran management team who have operated through many market cycles and understand how to effectively navigate the cyclicality of both the real estate market and the equity markets. We continue to work to provide shareholders with a portfolio -- with a portfolio that supports and sustains steady long term growth. With that Operator we can open the line for questions.
Operator: [Operator Instructions]. The first question comes from Matt [indiscernible] of B. Riley FBR. Please go ahead.
Unidentified Analyst: Just to start looking at your acquisition pipeline for 2018, can you give us a sense of what markets specifically at these properties are located in?
Leland O'Connor: The pipeline were in a couple of different places and as we mentioned you can see in the investor presentation there are a couple of the acquisitions, the Contractor Steel Company is a [indiscernible] but we have got and Michigan I think its five properties in Michigan, LSI Steel Processing is in Chicago, Illinois another three properties as well as Jim just mentioned Rubbermaid is in Akron, Ohio so a little bit of concentration in this portfolio and the Upper Midwest with all these properties falling within Michigan, Ohio, Indiana and Illinois as well.
Unidentified Analyst: And then kind of going forward do you expect to complete additional acquisitions for a year or how should we be thinking about total acquisition volume and disposition volume for 2018?
Leland O'Connor: Well we definitely would like to acquire more properties. We are looking -- we have a robust pipeline you know as you know we don't give guidance but we expect the year to be a good year for acquisitions.
Unidentified Analyst: Okay. Can you also provide us with an update on your expectations for international exposure and where we can expect to see that go from here as well as any update on your long term goals for industry diversification specifically do you plan to eliminate your retail segment altogether?
Leland O'Connor: I don't think we plan to eliminate retail all together as you know a lot of our retail holdings performed very well. We are looking in Europe we haven't identified anything recently that we want to buy but as we stated earlier the pipeline in the U.S. is robust and we were looking to expand the percentage to the U.S. over Europe a little bit and that's happening through the acquisitions we're doing and I think that will continue.
Unidentified Analyst: And then turning back to the pipeline given where your stock is trading today, how do you plan to finance the acquisitions be it with opportunistic asset sales, leveraging the ATM or issuing more debt in preferreds? Go ahead.
Leland O'Connor: No go ahead. I'm sorry.
Unidentified Analyst: I was just going to say going off of that an you also update us on your leverage targets for 2018?
James Nelson: Well you know we look at everything that's available to us as far as how we can fund acquisitions. So we look at every and all opportunity and our leverage we plan to keep roughly 50% and that should continue. 
Chris Masterson: And with the leverage currently where we stand we're comfortable at that level given the strength of the credit quality of our tenants, so we think that really gives us the full comfort over where we stand.
James Nelson: Yes as I stated earlier we have probably the largest percentage of investment grade tenants of anyone in our sector so that does give us a lot of comfort.
Unidentified Analyst: Okay, but looking at the acquisitions do you intend to be acquiring at leverage neutral I apologize if I've missed that before, but I'm just trying to think about where I should see that going?
Chris Masterson: Matt, when you say leverage neutral do you mean acquiring these--
Unidentified Analyst: Yes, 50:50 spilt essentially between debt and equity.
Chris Masterson: Again I think as Jim mentioned we're going to look at it -- a lot of these acquisitions are closing over the year part of our strategy in 2017 was to free up some availability on the line of credit and we also have got some cash on hand so as we get closer to these acquisitions you know whatever is best for the long term goal of the portfolio and shareholders will opportunistically close those acquisitions with a mix of different financing solutions, but we do intend to close them with some leverage.
Unidentified Analyst: And then one more, could you please provide me with an update on where you guys stand with the ratings agencies and whether or not you view obtaining an investment grade rating as an achievable goal for 2018?
Leland O'Connor: Well we've met with all three agencies, we are working towards that you know as you saw last year you know a number of the things that were very helpful was you know how we respect the debt stack and everything but we are working towards that. It’s a goal we have.
Unidentified Analyst: In addition, do you expect to tap the unsecured market this year?
Leland O'Connor: It's too early to tell.
Operator: [Operator Instructions]. This concludes our question and answer session. I would like to turn the conference back over to Jim Nelson for closing remarks 
James Nelson: Thank you, Operator. Thank you all for joining us today. We look forward to providing an update at NAREIT coming up as well as our fourth quarter results in the winter. Thank you.